Operator: Good afternoon. My name is Enrika, and I will be your conference operator today. At this time, I would like to welcome everyone to the NVIDIA Third Quarter Earnings Conference Call. [Operator Instructions] Thank you. I would now like to turn the call over to your host, Mr. Rob Csongor, Vice President of Investor Relations. Sir, you may begin your conference.
Rob Csongor: Thank you. Good afternoon, and welcome to NVIDIA's Conference Call on Third Quarter of Fiscal 2013 Results. With me on the call today from NVIDIA are Jen-Hsun Huang, President and Chief Executive Officer; and Karen Burns, Interim Chief Financial Officer. After our prepared remarks, we will open up the call to a question-and-answer session. [Operator Instructions] Before we begin, I'd like to remind you that today's call is being webcast live on NVIDIA's Investor Relations website and is also being recorded. A replay of the conference call will be available via telephone until November 16, 2012, and the webcast will be available for replay until our conference call to discuss our financial results for our fourth quarter of fiscal 2013. The content of today's conference call is NVIDIA's property and cannot be reproduced or transcribed without our prior written consent. During the course of this call, we may make forward-looking statements based on current expectations. These forward-looking statements are subject to a number of significant risks and uncertainties, and our actual results may differ materially. For a discussion of factors that could affect our future financial results and business, please refer to the disclosure in today's earnings release, our Form 10-Q for the fiscal quarter ended July 29, 2012, and the reports we may file from time to time on Form 8-K filed with the Securities and Exchange Commission. All our statements are made as of today, November 8, 2012, based on information available to us as of today and, except as required by law, we assume no obligation to update any such statements. Unless otherwise noted, all reference to market research and market share numbers throughout the call come from Mercury Research or Jon Peddie Research. During this call, we will discuss non-GAAP financial measures. You can find a reconciliation of these non-GAAP financial measures to GAAP financial measures in our financial release, which is posted on our website. With that, let's begin. We are pleased to report that NVIDIA achieved record revenue and record gross margin in the third quarter, driven by strong demand for our energy-efficient Kepler GPUs and Tegra 3, the world's only 4-PLUS-1 mobile quad-core processor. Our strategies to reinvent our company are driving growth. They are: first, create the most energy-efficient processors; second, invent mobile and cloud-computing technologies that will grow us beyond the PC; and third, create solutions for special-purpose PC markets, where we can make a significant contribution such as gaming, design, media and entertainment and GPU-accelerated computing. This quarter, we not only grew our PC business. We also significantly increased our business beyond the PC: in tablets, quad-core phones, data centers and automobiles. NVIDIA processors rolled out in Q3 in a range of new devices and settings, from Google's Nexus 7 tablet and Microsoft's Surface to Oak Ridge National Laboratory's new supercomputer and Tesla's latest electric sedan, which was just named Car of the Year by Automobile Magazine. 3 years ago, non-PC revenues were 7% of total revenues. This quarter, they grew to a record 30%. Our notebook GPU business recorded a second consecutive record quarter. In the premium segment, we increased market share with Kepler as part of the Ivy Bridge design cycle. Consumers are also now starting to realize that a great tablet is better than a cheap PC. Because of Tegra, Android and Windows RT, the entry-level PC market is now a new opportunity for us. Our desktop GPU business increased again this quarter. With improved supply now available, we delivered Kepler into the volume PC gaming market. With the majority of gamers using graphics cards that are below the recommended specifications of the wave of new games coming out, Kepler is a great upgrade for the millions of PC gamers around the world looking to play Assassin's Creed III, Far Cry 3 or Call of Duty: Black Ops 2 this Christmas holiday. Our Professional Solutions business was up, driven by a record quarter for Tesla. In Q3, we shipped more than 18,000 NVIDIA Tesla K20 GPU accelerators to Oak Ridge National Laboratory for their new Titan supercomputer. With 50 million CUDA cores working together, these new Kepler-based GPUs delivered 90% of Titan's 20 petaflops of peak processing performance, making Titan the fastest open-science supercomputer in the world. While the Quadro business was roughly flat quarter-to-quarter, it was down from last year, consistent with softness in the global workstation market. Our strategies to grow better than the market include new Kelper Quadro products to refresh Romley-based workstations in the latter part of the year, as well as new capabilities like Maximus, enabling both modeling and simulation in one workstation. In addition, this quarter, we also announced the industry's first cloud-based GPU that delivers workstation graphics capabilities to any screen. Built on the Kepler architecture, the cloud-based NVIDIA VGX K2 GPU will allow engineers and design professionals to work anywhere on virtually any device and still have access to the computing and graphics performance of a GPU-powered workstation. Tegra had another record quarter, driven primarily by the emergence of Tegra 3 as the applications processor of choice for many of the world's most popular tablet. According to Strategy Analytics data, market share for Android tablets grew in Q3 to 41% from Q2's 29%. Tegra 3 is now powering a number of Android tablets, including the highly successful $199 Google Nexus 7. It also began powering Windows PCs with the launch of Windows RT devices. These include Microsoft's revolutionary Surface, Lenovo's IdeaPad Yoga 11 and the ASUS Vivo Tab. Additionally, new Tegra 3 smartphones were released in important markets. Of note, AT&T announced that they will be launching the new HTC One X+, the first Tegra 3 LTE phone to ship in the U.S. market. And ZTE announced the U950 quad-core smartphone, which delivers Tegra 3 to a new price segment for the China smartphone market. This segment is about 30 million to 40 million units large. NVIDIA's automotive business also delivered a record quarter and continued its steady growth, as a growing number of leading auto brands choose Tegra to drive their infotainment and navigation systems. With that, let me hand the call over to Karen.
Karen Burns: Thanks, Rob. We had record revenue this quarter of $1.2 billion, up 15.3% quarter-over-quarter and 12.9% year-over-year. As in the second quarter, revenue was driven by strong demand for our Kepler GPUs in desktops and record performances by our notebook and Tegra products. We also achieved record gross margin on both a GAAP and non-GAAP basis. Our GAAP gross margin was 52.9%, up 1.1 percentage points sequentially and up 0.7 point year-over-year. Our non-GAAP gross margin was 53.1%, up 1.1 points sequentially and up 0.6 point from a year earlier. These record margins reflect the continued transition to Kepler GPUs from our previous Fermi generation and a mix more weighted to high-end segments. GAAP OpEx was $384.4 million, and non-GAAP was $344.8 million, both better than our outlook. GAAP OpEx was down quarter-over-quarter due to the absence of a non-recurring charge of $20.1 million in Q2 related to our announced charitable contribution. Non-GAAP OpEx, which excluded this charge, was up slightly from the prior quarter, driven by planned strategic hiring and higher engineering-related costs, offset by lower compensation costs, including FICA, and reductions in discretionary expenses. These results contributed to GAAP net income of $209.1 million, a 75.6% increase over the prior quarter and 17.3% year-over-year. That's equivalent to $0.33 per diluted share, which was up 73.7% sequentially and 13.8% year-over-year. Non-GAAP net income was $245.5 million, up 44% sequentially and 13.1% year-over-year. That's $0.39 per diluted share, which was a 44.4% increase sequentially and 11.4% year-over-year. Revenue results by business segment were as follows. Our GPU business was up 10.7% sequentially and 14.7% year-over-year. This was due to the continued launch of our new Kepler desktop products and our OEM partners launching new Ivy Bridge platform for notebook. Our Professional business was up 12.4% sequentially due to the first shipments of our new Kepler-based Tesla products, supporting the new Titan supercomputer. Year-over-year, our Professional business was down 4.2%. The strength in Tesla year-over-year was partially offset by the weak economic conditions impacting demand for our Quadro products. Our Consumer business was up 35.7% sequentially and 27.6% year-over-year on the strength of our Tegra business. Inventory in our desktop channel business remains stable at levels we believe are healthy. DSO was 34 days, down 5 days from the prior quarter. Accounts receivable and DSO decreased in the current quarter despite the increase in revenue as a result of shipment linearity and strong collections. DSI was 69 days, down 1 day from the prior quarter. We increased inventory by $41.8 million from the prior quarter, largely for production builds of our Kepler GPU products in support of expected demand, offset by declines in our Fermi-based GPUs. Our GAAP outlook for the fourth quarter is as follows: revenue of $1.025 billion to $1.175 billion; gross margin of 52.9%, flat from third quarter; OpEx of approximately $400 million; and a tax rate of 20%, plus or minus 1 percentage point. For non-GAAP, we expect the following differences from our GAAP outlook: gross margin of 53.1%, flat from Q3; and OpEx of approximately $359 million, which excludes stock-based compensation and certain other charges related to acquisitions in the aggregate of approximately $41 million. We expect our tax rate to be approximately 19%, plus or minus 1 percentage point. Depreciation and amortization are expected to be in the range of $58 million to $60 million and capital expenditures of $60 million to $70 million. Diluted shares are expected to be approximately 629 million. Lastly, we are very pleased to announce that our Board of Directors has approved the initiation of a quarterly cash dividend and has also approved the extension of our existing share repurchase program to December 31, 2014. The quarterly dividend of $0.075 per share is equivalent to $0.30 per share on an annual basis and approximates an annual yield of about 2.4% based on yesterday's closing stock price of $12.61. We have increased our cash by $305.2 million this fiscal year, with cash, cash equivalents and marketable securities at the end of the current quarter of $3.43 billion compared to $3.13 billion at Q4 fiscal 2012. We are committed to return cash to our shareholders and made this decision based on our strong cash position and the high confidence we have in our business to continue generating future cash. Thanks, Rob.
Rob Csongor: That concludes our prepared remarks. We'll now take questions.
Operator: And your first question does come from Alex Gauna with JMP Securities.
Alex Gauna - JMP Securities LLC, Research Division: I was wondering if you could speak to underlying fundamentals right now on the PC business. I know that you're taking share, but to the extent that you can maybe address how you see seasonality extending into Q1, and I was wondering if you could also speak to that same effect in your enterprise business.
Jen-Hsun Huang: Well, the P -- you're right that we're gaining share, our fundamentals are better than ever. Our GPU position is better than ever whether it's GeForce or Quadro for workstations or Tesla for high-performance computing. We're increasing share. Our position is better than ever, and -- but the end market is uncertain. The PC end market is uncertain as you've seen in other businesses. And so we're going to take a rather cautious approach to our outlook.
Alex Gauna - JMP Securities LLC, Research Division: I'm wondering if maybe you can address with your modestly down sequential outlook, where do you think you're baking in the most conservatism and where could be the greatest opportunity for upside surprise?
Jen-Hsun Huang: Well, if you look at year-over-year -- look at this quarter year-over-year, the business that had underperformed all the other business was our Quadro business. And that's related to enterprise weakness, but it's also associated with the fact that Romley, the server platform, was delayed by some time for workstations. It's in the process of ramping now. And we think that, that held back some purchases of new workstations as people waited for this new platform. It's surely a lot better than the previous generation. And so, hopefully, as Romley gets out into the marketplace with the new Kepler GPUs, we're going to see the workstation market recover. But the end markets, whether it's notebooks or desktop, our expectation and our outlook is that it's softer than we had originally predicted.
Operator: Your next question comes from Romit Shah with Nomura.
Romit J. Shah - Nomura Securities Co. Ltd., Research Division: Jen-Hsun, just curious from your perspective, what's contributing to the uncertainty in the PC market?
Jen-Hsun Huang: Well, we're not seeing anything unusual than anybody else. The end markets are softer than this time last year. If -- I guess, I'm surprised that you asked at all, although I think the overall market seems to indicate that the holiday season for PC sales is a little softer than expected. And it's global. It's not particularly related to one particular geography. But China is softer. Europe is softer. The U.S. is -- seems okay. But the vast majority of the end markets appear to be uncertain.
Romit J. Shah - Nomura Securities Co. Ltd., Research Division: The reason I asked the question is, from Intel's perspective, they've highlighted the macro, as well as the fact that some of these other devices like tablets are eating into the PC TAM. But curious from your perspective, if you see one issue being a bigger issue -- a bigger problem than the other.
Jen-Hsun Huang: Well, our view of the PC TAM is that it is being eaten by tablets. And the reason for that is because a great tablet is surely better than a cheap PC. And these days, the tablets are so versatile. And many of them are transformable and have hybrid tablet, as well as notebook usage models. And now with the Surface -- Microsoft Surface and Win RT, the distinction between a PC -- a cheap PC and a great tablet is all but disappeared. And in fact, we see our tablet business grew 100% year-over-year. And so I think that the PC market, especially the cheap PC market -- but we don't really play in the cheap PC market. The low-end part of the cheap PC market is all integrated. And so our opportunity is to replace and going into that marketplace with the Tegra processors and the tablets that we serve. So for us, the vast majority of uncertainty is just end market of PC.
Romit J. Shah - Nomura Securities Co. Ltd., Research Division: And just as a follow-up, I was hoping you could give us a sense of how aggressive you plan to be with the buyback over the next 2 years.
Jen-Hsun Huang: We haven't decided. I assume that you're pleased with the dividend, and we're surely pleased by that. And our Board of Directors has extended our stock buyback plan to 2014, as Karen had said. And so we'll evaluate it from time to time, and we'll be in the market.
Operator: Your next question comes from David Wong with Wells Fargo.
David M. Wong - Wells Fargo Securities, LLC, Research Division: First, quick administrative one. You're guiding for GAAP operating expenses to rise sequentially in the January quarter even though your revenues are coming down. So is there a big jump in R&D? And where does that come from?
Jen-Hsun Huang: Our big jump in R&D comes from really 2 places. One, we're in the process of going to market with our next-generation mobile processor. And that's a -- we're really excited about that next-generation processor, and we're ramping very hard. The second part is our 4G LTE modem. In order for us to really gain a larger footprint in smartphones, we have to integrate 4G LTE modem into our application processor. This is a brand-new market for us. Although we are already shipping some quantities of discrete LTE modems, the vast majority of the marketplace is really integrated. And so our -- we have a next-generation application processor integrated with a next-generation LTE. And this quarter, we hope to tape out and race it to market. And so our OpEx has increased so that we can invest in that initiative. It's obviously a very, very large market opportunity for us, and so we're very quite bullish about it.
David M. Wong - Wells Fargo Securities, LLC, Research Division: Okay, great. And actually, related to that, can you give us some feel for what proportion of Tegra are tablets rather than smartphones? And do you expect Tegra for Windows RT tablets to be up or down in the January quarter?
Jen-Hsun Huang: We expect -- I'll go backwards. We expect the tablet sales to be down in the January quarter because most of the tablets go into -- we shipped most of the tablet processors into manufacturing for our OEMs for their holiday build. Overall, our tablets are up 100% year-over-year. Our Tegra processors overall is up about 50% year-over-year. And so that gives you a sense that the vast majority of the Tegra growth has come from tablets, and Super Phones has been relatively stable. And one of the reasons why we are so interested in integrating our application processor with a 4G modem, so that we can expand the reach of our application processors into Super -- into more of the smartphone marketplace. This is really a great opportunity for us. Because if you think about the number of companies in the world that can combine a world-class CPU, a world-class GPU, a 4G modem and has the expertise and the complicated software stacks necessary to partner with all of the companies on the various computing devices, there aren't really that many companies. And this is a great opportunity for us, and so we're investing aggressively to get 4G into our product line.
Operator: Your next question comes from Harlan Sur with JPMorgan.
Harlan Sur - JP Morgan Chase & Co, Research Division: Maybe to start off, can you just give us more color directionally what your 3 segments are going to be trending in the fourth quarter?
Jen-Hsun Huang: Let's see, I think the -- we're expecting our overall business to be down. And there are really 2 drivers of that, that the -- we're being cautious about the PC end markets. The entire -- we're seeing relatively similar behavior across each one of the regions. Although our position is better than ever in GPUs and in our workstation business, the PSP business, as well as our Consumer business where the Tegra business is, we're expecting some amount of end market softness. The second thing I've just -- I explained to David that the tablet will be down, even though the devices that we're in are incredibly successful. The Nexus 7 is selling super well. And the Surface and the Win RT devices are really exciting. And, however, the vast majority of the builds for the holidays have to happen for the holidays. And so we shipped more proportionally to them in Q3 than in Q4. But overall, year-over-year, the tablet has doubled. And the overall Tegra business has increased 50%. And so I think that we'll see how the market -- the end markets do. And nobody's going to know until it's done. So but if it does well, we're really well positioned to take advantage of it.
Harlan Sur - JP Morgan Chase & Co, Research Division: Great. And then on the desktop GPU side, it looks like you had solid growth there in the third quarter. And I know that a big percentage of this business is tied to gaming. In the U.S., we've seen several new and much-anticipated game releases. I could clearly see that as a big demand driver for the team. But the team has often talked about the gaming environment in Asia as being an even bigger driver for your GeForce products. So maybe you can just spend a little bit of time, kind of highlighting what are some of that trends in Asia that are responsible for -- what were responsible for kind of the solid demand trends for your Kepler-based products in the second half of this year.
Jen-Hsun Huang: Yes. In fact, our GeForce business has been growing steadily, and it remains robust. The driver for that, of course, is PC gaming. The gaming marketplace is very, very large. And each one of the regions has a slightly different dynamic. Here in the West, we're going to see a couple of really huge titles coming out. Call of Duty is coming out this holiday season, Far Cry is coming out, and Assassin's Creed is coming out. And the anticipation is really great for those. In China, the dynamics are rather different completely. On the one hand, there are no game consoles really in China, so the PC is the game console of China. And the second dynamic is their discovery of free-to-play, massive online, multiplayer online games that are free to play. And that people can enjoy with easy access and play it and pay as they go. All they need to have is a great GeForce card, and they can enjoy just about all the games they can play. And so I think the global PC gaming marketplace is quite vibrant. And we'll just take a cautious look as we -- cautious posture going into Q4, as we're uncertain about the end markets. But if the end markets prove to be healthy and prove to be good, we're well positioned to take advantage of it.
Operator: Your next question comes from Hans Mosesmann with Raymond James.
Brian C. Peterson - Raymond James & Associates, Inc., Research Division: This is Brian Peterson in for Hans. Could you talk about 28-nanometer supply, if that was a limitation at all this quarter, and what impact that may have on your January quarter outlook?
Jen-Hsun Huang: Well, the 28-nanometer yield and 28-nanometer supply situation have both improved substantially. And so we feel pretty good about the balance of supply and demand at the moment.
Operator: And your next question comes from Mike McConnell with Pacific Crest.
Michael McConnell - Pacific Crest Securities, Inc., Research Division: Looking at -- just backing into the number for Tegra for fiscal Q3, I come to about $165 million. Is that the ballpark for Q3?
Jen-Hsun Huang: Roughly.
Michael McConnell - Pacific Crest Securities, Inc., Research Division: Okay. And then looking at the $30 million, call it, order backing into that, that you got from Oak Ridge, is that a onetime item? Or is that expected to continue into F Q4, onetime order, as you say?
Jen-Hsun Huang: Well, supercomputers are built once -- one at a time. But there are other supercomputers that are going to be built around the world, if that's what you mean. Kepler is just ramping for supercomputing, for high-performance computing. And so Oak Ridge and the Titan was the first supercomputer we built into. And we've been planning on this for over a year. And so that was a very significant challenge for us. And it says something, that the world's largest supercomputer would have chosen the Kepler GPU to power 90% of its computation. And we're hoping that Titan is going to deliver some amazing breakthroughs in science. This is the largest open-science supercomputer in the world. This is the fastest open-science supercomputer in the world. And it also -- it was also the first supercomputer that we delivered Kepler to. At this point, we have supercomputers all over the world that we need to go build out. The run rate for Kepler is about 2x the run rate of Fermi 1 year ago. And so this is -- it really shows that people understand now that GPU-accelerated supercomputing, or GPU-accelerated high-performance computing is really the most energy-efficient and also dollar-efficient way of computation. And so I think we're starting to see that we're about reaching the tipping point of accelerated computing here. And we're really excited about it. It's been quite a journey and quite an investment. But now CUDA is impacting every aspect of our business. In Tesla, you could see the progress there we just talked about. CUDA is also making it possible for workstations and design applications to design and simulate at the same time. CUDA is also making it possible for our PC gaming GeForce to be able to use simulation for special effects and to materials and dynamics in the virtual world. And so CUDA is -- has proven to be a real lift for our entire GPU business. And I would go so far as to say that, because of CUDA, we have kept the GPU continuing to grow into more and more applications, and as a result, continue to grow the business.
Karen Burns: I just want to be clear. Just on your first question, just a clarification. As we disclosed in the CFO commentary, the CPB increase quarter-over-quarter, that's almost entirely Tegra. So I think your number was understated.
Michael McConnell - Pacific Crest Securities, Inc., Research Division: Okay. And then, Jen-Hsun, just one longer-term question on Tegra. A few of us attended ARM's Tech Conference last week. And there was a session with Samsung. And they were pretty straightforward that with Exynos, they're going to be looking at more of a merchant strategy going forward. And they also expressed some pretty strong interest in Windows RT. As you look at the competitive landscape next year for Tegra, and just the resources that Samsung has, their own fabrication facilities, does that alter your view of the competitive landscape at all, when you kind of think about Samsung potentially getting involved in this business segment?
Jen-Hsun Huang: Well, Samsung is surely a formidable company. And to most customers, Samsung is just downright scary. And you've heard Asia's posture about Samsung. And so I think that our focus is pretty simple. We have to continue to stay ahead of them technologically, and we have the capability to do so. We're one of the few companies in the world that has the ability to do so in the area of computing. Number two, we are a neutral and a friendly partner for all of the companies that Samsung competes against. And in most of these devices that you're talking about, it's not a -- it's not like selling a DRAM. It's about -- it's like collaborating to build computers. And so it's engineers working hand-in-hand with other engineers. And so if there's concern about trade secrets, if there's concerns about confidentiality, we are one that they have no concerns about. And so we're not going to win everywhere. But as you know, Tegra is a small business. This is -- we still have an opportunity to grow well over 50% each year. And surely, as we look into next year, between our next-generation processor, the new segments that we're in and the fact that we're going to introduce our own 4G-integrated modem processors, I think our growth opportunity is still pretty exciting.
Operator: Your next question comes from Daniel Amir with Lazard Capital Markets.
Daniel L. Amir - Lazard Capital Markets LLC, Research Division: A couple of questions here. First of all, just from a housekeeping perspective, on the tax rate here, how should we be looking at the tax rate into next year? And then I have one follow-up.
Karen Burns: The tax rate is as we disclosed, as far as our best outlook next year, who knows? I mean, we just got the elections done and we'll see what Congress does and what the our new President will be able to drive.
Daniel L. Amir - Lazard Capital Markets LLC, Research Division: Okay. And then kind of to follow up a bit to the previous question, I mean, where do we stand kind of in Project Denver? I mean, what's kind of the latest there? What's your thought a bit about how the ARM market will develop and kind of NVIDIA's position there?
Jen-Hsun Huang: Well, Project Denver is a 64-bit processor. And it's a full-custom v8 64-bit processor with some exciting secret sauce. And we haven't revealed much about it. There are no 64 bits processors shipping today, as you know. And v8 was just announced. The next 64-bit was just announced. And so, I guess, the only thing I could tell you is Denver is going great.
Operator: Your next question comes from Ambrish Srivastava with BMO.
Ambrish Srivastava - BMO Capital Markets U.S.: That was a good response. At least, you gave your perspective to Mike's question, but I just wanted to follow up on that a little bit. The analogy between the tablet market and the PC market, it -- correct me if I'm wrong, in the PC market, you had refreshes and -- between you and AMD. And you would, on the back of your architecture, you would win a socket and lose a socket. And that could last 1.5 year, but when I look at the tablet market, so you got a marquee design win, Google 7, Nexus 7 and then the 10 goes back to Samsung. Is there anything different here that you can drive that can lead to more sustainability of design wins, and not just Google, just kind of broadly? And again, I wanted to just put that out there that you guys have done a good job and not sitting idly and targeting, going after the mobile space and expanding your TAM. And then my quick follow-up, Jen-Hsun, if I may, the low-end TAM you mentioned, how big is that TAM for you on the low-end PC side that you did not address before?
Jen-Hsun Huang: Well, I could tell you what our focus is. Our focus is to build the world's best mobile computers. And to do that, you need to have a great SoC, you need to have a great GPU, and you need to have extraordinary software capability. And there are multiple platforms: there's Android, there's Android phones, there's Win RT, there's Linux, there's Chrome, there's Windows 8 phone, there's quite a few platforms. And we have the capacity as a company, both technologically as well as resources, to be able to partner with many of these companies, these ecosystem owners, to build these great computers. And you're right, we're not going to win them all. But as you can see, we win our fair share. And we're winning more and more every day. We won about 100% more this year than we did last year. And my hope is that we'll win even more next year. And every time we expand the reach of our company into new platforms, and this year was Win RT, it really expanded the reach of our company and expanded our growth. And so we're just going to keep -- stay focused on that. And one of the attributes of our company is technology leadership. You can trust us, to partner deeply with us, to build these complicated devices. And I think that's a real virtue. With respect to the size of the PC TAM you're alluding to, and what I also believe and now what the world has seen, that a great tablet is every bit better than a cheap PC. And that is the reason why tablets are gaining the favoritism of consumers all over the world. It's easier to use, it's more delightful to use, and it's more useful. And the cheap PC market represents probably a couple of hundred to 200 million units a year. The vast majority of the world's PCs are affordable PCs, as you know. They're cheap PCs. And that segment is now wide open, as these mobile processors have become more and more capable. And you know that disruption comes from the bottom. The disruption comes from the bottom because the volumes are so high. In just 2 years' time, this year, we'll probably ship around 30 million Tegra processors. And that just happened in the blink of an eye. And that's -- and yet there's enormous markets ahead of it. And so once an instruction-set architecture like the ARM CPU reaches critical mass and the developers all focus on it, it becomes more and more valuable. And it becomes more useful. And as more companies drive and compete in this ecosystem, in this marketplace, we make the SoCs better and better. And before you know it, it disrupts the market above. And the market above is -- directly above the tablet is the cheap PC market. And so that's a big opportunity for us, especially now with Win RT. And so I'm super excited about it.
Operator: Your next question comes from Craig Ellis with Caris & Company.
Unknown Analyst: This is Brett Perry [ph] here for Craig. Obviously, within Tegra, you're doing well in tablets. Can you talk a little bit about the smartphone mix you have in there and design wins maybe that you have compared to -- I think you've referenced 30 before?
Jen-Hsun Huang: We -- this year, for Super Phones, we did about as well this year as we did last year. Last year, we had Motorola, we had LG, we had some others. This year, we had the benefit of working with HTC; Fujitsu, the #1 in Japan; ZTE; and with Wayne, our next-generation processor, we will have even more. And so each year, we're able to gain the trust and develop the reputation to work with more and more smartphone companies. And so we're going to continue to expand in that segment. It -- for us to really grow in the smartphone marketplace, as you know, we need to really integrate a modem. And that's one of the reasons why we -- well, that's the reason why we bought this really great company called Icera. And we have 4G LTE now certified at AT&T data side. And we're in the process of working on voice. Now one of the reasons why our OpEx is high -- increased for next quarter is our increased investment in our integrated application processor in 4G from product. And so if we can get that to market soon, and which we hope, we'll be able to expand our smartphone opportunity quite dramatically. And now that we have the software stack developed with each one of the phone companies, the opportunity could be quite significant for us.
Unknown Analyst: And then on the GPU side, could you talk about the trends you're seeing? But then, obviously, I think ASP should probably be up within the GPU. By how much that was up compared to units in the quarter?
Jen-Hsun Huang: Maybe Karen could tell you the exact numbers. But overall, the -- with the exception of Quadro, which was down year-over-year -- it was down year-over-year not because we lost any share, not because ASP was down. In fact, ASP was stable. Gross margin was stable. Our position in that marketplace is better than ever. The workstation marketplace was just generally soft. Two reasons, as I mentioned earlier, I think the end market was soft and the delay of the Romley platform, workstation platform, caused some delayed buying in the marketplace. But overall, the GPU marketplace was -- our GPU business was up about 15% year-over-year. And I think -- I would think that the ASPs was up.
Karen Burns: Yes. So volume was fairly -- I mean, we had an increase in volume, but I think the bigger piece is we're selling more Kepler GPUs. And those are at higher ASPs than our older-generation Fermi. So as far as the mix in GPU, it's much richer. So yes, ASP higher overall.
Operator: Your next question comes from Dale Pfau with Cantor Fitzgerald.
Dale Pfau - Cantor Fitzgerald & Co., Research Division: Could you talk a little bit about the integration of the voice stack on your Icera baseband with your applications processor? Other companies historically have struggled with this. Could you tell us where you are? And if you're still on track to introduce your Grey to the market here in, what, the first calendar quarter, I think, originally was where you're going to do it?
Jen-Hsun Huang: Backwards, Grey is on tract. And we have already shipped a voice stack on our Icera modem. We shipped it with ZTE. And our focus now is really move -- and that's the 3G data modem, 3G stack. We're now moving all of our focus to 4G and LTE. And so it is a very significant effort. And we have been endeavoring there for some time now. And we're quite enthusiastic about going to market with Grey.
Operator: Your next question comes from Ross Seymore with Deutsche Bank Securities.
Ross Seymore - Deutsche Bank AG, Research Division: In the Consumer business, and more specifically in the Tegra business, Jen-Hsun, how do you think about balancing the profitability versus the growth as you go forward in that?
Jen-Hsun Huang: Well, we've been investing in Tegra now for a few years. But mobile computing, as you know, is the future of computing. There is no computing beyond mobile computing in the future. Every computer will be mobile. And so this isn't really a question about we're expecting to be more or less profitable in Q3 or Q4. This is really about the future of the industry. And we, for all of the good fortune and good decisions, have gotten ourselves in a pretty great place in mobile computing. And I think that we have now an opportunity to integrate our 4G modem and expand deeper into the smartphone market; continue to execute our roadmap; and because of the enormous implications of Win RT, give us the opportunity to grow into the PC marketplace. The future of cheap PCs is really tablets, great tablets. They're likely be Win RT tablets. They could be -- they may very well be Android tablets. I could even imagine them being Chrome tablets. And so these are -- and these tablets have keyboards, of course, so they're sometimes touch tablets, sometimes they're a notebook. But I think we all recognize now that this is likely the future of the computer industry. And so I think we find ourselves in a really exciting time. And Win RT just went to market. I'm really excited about it. We're seeing people using it all over. And next year, I think we're going to see even more. And so this is pretty exciting stuff.
Ross Seymore - Deutsche Bank AG, Research Division: And I guess, as my follow-up, just sticking with the Tegra side and some of the modem comments you made earlier. As far as the -- either the voice side of LTE or the fully integrated side, is there any sort of benchmarks timing-wise that we can look forward to as to when you expect those products to be available?
Jen-Hsun Huang: Well, we're taping out products now. We're taping out products, our integrated product now. And that's really the product that, that in about a year's time frame, will really, really matter to get us into a larger part of the smartphone market. In the meantime, we're also ramping into the marketplace our next-generation application processor. And so we're looking forward to a new generation of Super Phones that will be in. And so but the real big opportunity is going to come with integrated 4G modem, a processor that we internally call Grey.
Operator: Your next question comes from Raji Gill with Needham & Company.
Rajvindra S. Gill - Needham & Company, LLC, Research Division: A couple of questions on Tegra, if I can. You talked about developing an integrated baseband in that processor to compete against Qualcomm, I would presume, which is the dominant player there. If you look at where Qualcomm is positioned in terms of its end customers, obviously, they have Apple, and they're benefiting from that. How do you intend to kind of take share away from Qualcomm in the market? And how do you look at the market in smartphone, which bifurcated between the high end, which is Samsung and Apple; and the low end, which is ZTE and Huawei, how do you look at the smartphone market? And how do you position your products relative to the competition?
Jen-Hsun Huang: Yes. First of all, thank you very much, Raji. I think, first of all, we have already taken share from the mobile processor companies. The fact that Tegra is already a multi-hundred-million-dollar business on its way to being much larger is taking share from someone. And so we're brand new to this marketplace. And we've only been in it for 2 years. And so this is -- we're obviously -- we're clearly holding our own. Our position is where computing is richest. If computing and a general-purpose computing platform is -- matters, if performance matters, technology leadership matters, I think we can make a real contribution. When you think about integrated modems, you're right that more companies are becoming vertically integrated. That's going to affect all of us. Samsung's desire, probably based on some questions earlier, is not to buy chips from other companies -- any companies. And so -- but we don't have Samsung as a customer today and nor do we have Apple, and so we have nothing to lose. But there are many other customers that I think are going to be pretty terrific to work with. And whether it's global Tier 1s, the global brands, whether it's LG or ZTE or HTC or Sony or Fujitsu or -- I mean, there's a large list of global phone brands that we love to partner with and that we're partnering with. There's also China. The dynamics of China is very, very different than the dynamics of the rest of the world. They have many different modem standards. They have a very large number of phone companies. And we have the software engineering capacity to be able to partner with them and to help them build amazing phones. And so I surely see what you see that there are vertical integration, and that's -- they will continue to do that. However, there's a very large market of hundreds of millions of phones that we can go and make a contribution to.
Rajvindra S. Gill - Needham & Company, LLC, Research Division: Very good. Just one last question. As you look to fiscal year 2014 on the Tegra side, any thoughts in terms of kind of what the mix could be between tablets and smartphones? And along those lines, do you see kind of ARM-based Tegra processors in the notebook market gaining some traction in fiscal year '14 or calendar '13?
Jen-Hsun Huang: Sure. We have several segments for Tegra. There's Tegra Android phones, there's Tegra Android tablets, there's Tegra Win RT, PCs, and there's Tegra automotive. The car is the most mobile computer of all. And people know that all the cars want to incorporate computers for all kinds of reasons, whether it's infotainment, navigation or driver assistance. And this is an area where we can add an enormous amount of value. And next year, I think you're going to find that -- we're going to find that auto is likely to be its first $100 million year. Win RT is likely to be much larger next year than this year. And Tegra tablet will continue to be quite a rich business for us. And then there's the Tegra phones. So if you look at it from that perspective, tablets and automotive, the Android tablet, Win RT tablet and automotive will represent a -- the largest proportion of the overall Tegra business. And then the year after that, I hope that, with our integrated modem, Tegra could be a much larger part of the business. And with respect to PCs, tablets are the modern PCs.
Operator: And your next question comes from Craig Berger with FBR Capital.
Craig Berger - FBR Capital Markets & Co., Research Division: I wanted to ask on the 28-nanometer Kepler GPUs. I mean, the pricing has been great. The gross margin seem to have been good. Can you help us understand what are the factors that might impact gross margins for that product, which way you think they'll be going as presumably yields improve as way for cost decline and I get -- I guess, ASPs decline? How do we think about GPU margins going forward? And also, how much is Fermi versus Kepler?
Jen-Hsun Huang: Well, pricing is stable. Pricing is stable because our position in the market, in the market that we serve, is better than ever. A lot of people see our GPU business as a components business selling into PC. But that is part of it. We sell GPU components to notebook OEMs. And there, the margins are much tighter. However, the other parts -- the vast majority of our GPU's profits come from, what Rob called earlier, the special-purpose PCs, PCs that are built for PC gaming. Gamers build it for PC gaming. This is our GPU architecture, our GPU stack, the software that we dedicate to games. And the work that we do with game developers all over the world makes the GeForce architecture the best in the world for PC game. The work that we do with workstations, whether it's automotive, manufacturing, digital content creation, digital broadcast, the augmented reality imagery that you saw on CNN for the election where the virtual sets look so real, it's almost like the broadcaster or the commentator was inside a pretty amazing room, all of that stuff is done using NVIDIA's Quadro GPUs. That's very software-intensive. And the vast majority of the value we deliver is software. And then, of course, high-performance computing with Tesla, tools, compilers, libraries, the computational mathematicians we have all around the world to help people optimize their software, the solution architects that are out in the field working with large customers like Oak Ridge National Labs, so that we can help them build their supercomputers. These businesses, the Tesla business, the Quadro business, the GeForce PC gaming business, are incredibly software-intensive. And there, our margins are very good, and the pricing is stable. And the reason for that is because we add a lot of value. And so my expectation is, as we continue to solidify our positioning in the marketplace and we continue to add value to our customers, the pricing should be stable.
Craig Berger - FBR Capital Markets & Co., Research Division: Jen-Hsun, did you say how much was Fermi versus Kepler in the quarter just ended?
Jen-Hsun Huang: I didn't, but go ahead.
Karen Burns: Well, we don't really disclose that. The point I was making before is it's -- like Jen-Hsun said, the price is stable, depending on the segment your in. So if you're in a high-end segment, you have a certain ASP. And then, the only point about Fermi is, as we move through a new generation, the older generations go further down the stack. So they are lower ASPs.
Craig Berger - FBR Capital Markets & Co., Research Division: Okay. And then as a follow-up question, can I ask one on the baseband efforts? It sounds like you're getting close to taping out an integrated part. I'm assuming that's 4G LTE. Are there specific geographies you're going to be targeting first? Obviously, the world is a big place. They all require different software stacks. And just what's your rollout strategy there as you go against much larger competitors?
Jen-Hsun Huang: We'll start with the U.S. We're nearing sampling of a discrete 4G LTE modem, and then we're taping out an integrated 4G LTE modem -- integrated 4G LTE application processor. And that's the reason why we are increasing our investments. Okay. I think that's what we have time for today. We look forward to talking to all of you next quarter about our Q4 results. And thank you, everyone.
Operator: This does conclude today's conference call. You may now disconnect.